Operator: Greetings and welcome to Ideanomics Q2 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tony Sklar. Thank you, Mr. Tony Sklar. You may begin.
Tony Sklar: Thank you operator and welcome everybody to the Ideanomics Q2 2020 earnings conference call. Joining me today, I'm pleased to have Mr. Alfred Poor, our Chief Executive Officer; and Mr. Conor McCarthy our [Principal Accounting] and Chief Financial Officer. A webcast of today's call will be archived and available on our Events and Presentations section of our corporate website for a minimum of 30 days. As a reminder, this conference call is being recorded. During the call, we will make forward-looking statements, such as dialogue regarding our revenue expectations or forecasts for quarters and the full fiscal years 2020 and 2021 related to our business. These statements are based on our current expectations and information available as of today and are subject to a variety of risks, uncertainties, and assumptions. Actual results may differ materially and as a result of varying risk factors that have been described in our periodic filings with the SEC. As a result, we caution you against placing undue reliance on these forward-looking statements. We assume no obligation to update any forward-looking statement as a result of new information or future events, except or required by law. In addition, other risks and disclosures are more fully described in our Ideanomics public filings with the U.S. Securities and Exchange Commission, which can be viewed at www.sec.gov. Today, August 10, the company will file a 10-Q with the SEC and afterwards we have issued a press release that is out now announcing our financial results. So participants on this call who may not have already done so may wish to look at those documents, as we provide a summary of the results on this call. A format for today's call will be as follows: Mr. Alfred Poor, our CEO, will speak to the company's overview and business strategy, as well as the activities and developments for the second quarter and the fiscal 2020. Mr. Conor McCarthy, our Chief Financial Officer, will speak to the company's operating and financial results for the second quarter. And then I know it’s everybody's favorite, the Q&A session. I will now hand the conversation over to Mr. Alfred Poor, Ideanomics CEO.
Alfred Poor: Thank you, Tony, and thank you to everyone joining our call today. I’d like to start the call with an update of the global electric vehicle industry. Based on Bloomberg’s NEF reports, which I consider as one of the leading information sources to the industry, due to the events that is taking place in battery tech, combined with policymakers pushing for lower emissions, the accelerating level of investments in the EV sector, we believe the outlook for EVs is very robust. To date, numerous countries have announced plans to phase out sales of gasoline and diesel powered vehicles. Beyond passenger cars, it is the municipal buses, mopeds, trucks, unlike commercial vehicles, which are forecasted to be leaders in their segments, in terms of electrification. All of these are which of course, target segments for Ideanomics. 2020 looks to be an important inflection point for the industry, evidenced by a very active IPO market for EV makers such as Nikola, Rivian, Fisker, and [indiscernible]. Over the past 18 months to 24 months, we have strategically built a comprehensive range of services to support EV enablement by commercial fleet operators. We believe that S to F to C or sales to financing to charging business model positions us to serve this growing market. We are confident that our EV related procurement and financing services will continue to attract commercial fleet operators, and that we are confident in our ability to market our charging and energy services to those operators such that we generate the sustainable long term revenues that will drive shareholder value. I'm going to take you through some of the highlights of the second quarter, starting with the energy division, where the company booked several million dollars in revenue and validates their business model and investments in that segment. The company's progress in the second quarter has meant that the third quarter is already off to a strong start. I'd like to say a big thank you to everyone in the Ideanomics family for the effort they have made in 2020. We're proud of our business and what we are achieving as a result of the collective efforts of everyone. I'd also like to thank our growing shareholder base for their support. The MEG center in Qingdao established operations in the second quarter and contributed to the second quarter revenues. Along with MEG's executive team based in Hangzhou, our Chairman Dr. Bruno Wu is on the ground in Qingdao at this time, supporting the local team and working with local officials to help close out sales to local municipal customers. Our order book continues to grow. And we are in an ongoing hiring phase in China to support the execution and delivery of our order pipeline. This month sees positive momentum within our heavy truck division. One particular order we're fulfilling at this time with our battery technology partner CATL is for a mining operations customer in Inner Mongolia. We announced in Q2 this division was named as Medici Motor Works. The re-branding of the heavy truck division is to support expansion efforts outside of China and into North America. Our interested in the truck segment is progressing faster than we originally anticipated. To participate in this interest with the help of OEM partners in China and South Korea, we anticipate having cost efficient versions of both battery EV and hydrogen to fuel cell heavy trucks to market relatively quickly. The process for doing so requires regulatory approvals for all vehicle types, for the various road weather and safety conditions in North America. And we will keep you updated on the progress of that accordingly. With the re-opening of government offices in Malaysia in June, the Treeletrik was able to secure title to the approximately 250 acres of land we've been in the process of acquiring. And as a result, we are now in discussions with assembly and OEM partners regarding development of that land to further support the growth of the business. Similarly, the Treeletrik things in discussions with finance partners around collateralization with the land for development. To support the anticipated growth in the ASEAN region, we are recruiting a CFO for Treeletrik and we're in discussions with candidates who have automotive experience, and we've expanded the number of board seats to Treeletrik to include CEO [indiscernible] and a Senior Government Advisory, Malaysia. During the second quarter, we raised money to put cash on our balance sheet, and we used the money raise to accelerate operational objectives, as well as for supporting our efforts in evaluating opportunities to accelerate that business strategically, such as accretive acquisitions. We see several opportunities in the market in the fallout of COVID-19 and when such opportunities can complement our organic growth, or provide strategic advantage, we will move to capture the value for Ideanomics. For your reference, including in a presentation is a slide detailing a revenue model. I won't go over these details now, we've covered it in several previous calls, but the presentation is available on our website after the call. I will now hand the call over to Conor McCarthy, CFO of Ideanomics, for a review of the financials.
Conor McCarthy: Good afternoon. Thank you, Alf. Ideanomics produced one of its strongest financial performances in the second quarter. The highlights for this quarter are, our mobile energy global subsidiary, which we refer to as MEG reported its best ever revenues. We finished the quarter with $36 million of cash in our balance sheet. We reduced convertible debt by almost $12 million, which is about 40%. The going concern qualification was removed from our financial statements, given the strong cash position we now have. And we continue to reduce our operating cost base through rationalization of the company's office leases, and we continue to look for other savings that’s in our cost base. I would now like to discuss the financial performance in greater detail. Revenue for the second quarter was 4.7 million, almost all of which was generated by MEG, the company's EV business. The second quarter revenues are the largest revenues from MEG since the company commenced the sale of EVs and I believe demonstrates the underlying strength of MEG’s business, particularly as these revenues were earned during a period when China's economy was still returning to normal after the COVID-19 lockdown. Revenues for the second quarter of 2019 were $14.4 million. However, nearly all of the second quarter revenues were earned from the digital asset management services contract that produced no revenues in the first half of 2020. Consequently, comparison to the prior period is not meaningful. Gross profit for the second quarter was $255,000, which represented a gross margin of 4.9%. Second quarter [Technical Difficulty] as compared to [Technical Difficulty] the increase was due principally to a one-time non-cash impairment charge of $6.2 million, of which almost all related to the decision to terminate our office lease at 55 Broadway. Excluding the impairment, operating expense for the second quarter was $10.3 million versus 8 million in the prior year. The increase was driven by higher professional fees and remeasurement of acquisition earnout expense. Drivers of the increase in professional fees included expenses related to the continued development of the company's investor’s relations program, legal fees associated with the equity and debt transactions in the second quarters, and other regulatory matters. The loss from operations was 16.3 million. However, excluding the one-time impairment charge, the loss would have been 10.1 million as compared to a profit of 5.7 million in the prior period.  The increased operating costs is almost entirely due to the lower gross profits in the current period as the very high margins achieved from the digital asset management service contract were not repeated in the current quarter. And going forward, we do not expect to earn revenue in the foreseeable future from digital assets management services. As I stated earlier, management continues to look for ways to reduce costs and allocate spending to projects with the highest rate of return. I'd like to comment briefly on the interest and other income section of our income statement. Interest expense for the period was $8.9 million, which was almost all non-cash and represents the expense when U.S. GAAP accounting guidance is applied to the [ratchet provisions] in the company's convertible debt.  The conversion expense of 2.2 million is also non-cash and results from the adjustment of the conversion price on convertible notes held by Dr. Bruno Wu Mr. Shane McMahon. As previously reported, on June 5, Dr. Wu and Mr. McMahon converted their notes to common stock in Ideanomics, added 30% premiums to the five-day volume average wage and price at the date of conversion. The company considered this conversion to be very beneficial, as it indicated Dr. Wu and Mr. McMahon's strong belief in the future prospects of the company and reduced the amount of debt outstanding. We recorded a gain of 1 million in other income related to the successful negotiations to terminate and operate an operating lease held by one of the company's U.S. subsidiary. That was a real estate lease that [indiscernible]. My final comment on the income statement is to highlight that expenses from second quarter include almost $17.4 million of non-cash expenses related to the conversion of convertible debt and the asset impairment charge for our office at 55 Broadway. Turning to the balance sheet, we greatly strengthened our balance sheet in the second quarter. We ended the quarter with $36.4 million of cash, which based on current projections is sufficient to fund the company as planned level activity for more than the next 12 months, which in turn means that the company believes that it has the ability to operate as a going concern. Holders of Ideanomics convertible debt converted almost 12 million to common stock, which represents almost 45% of the total principal outstanding before the conversion. We are in negotiations with Advantech Capital Investment, holders of the $12 million note that comes due in June 2021 to restructure the terms of the note. Based on discussions to date, management is confident that these negotiations will be successful. In conclusion, the second quarter was one of milestones achieved to recap the highest revenues for MEG since the business commenced operations, strong liquidity with $36 million in cash on the balance sheet, providing a strong platform for future investment, significantly reduced levels of debt, and an effective S3 statement, which gives us the ability to raise capital to take advantage of strategic acquisitions in this virus market. And I'm now going to hand it back to Tony. Thank you.
Tony Sklar: Thank you so much, Conor. This concludes management's prepared remarks. I am now very, very excited for us to answer a few of our investor and analyst questions. So, I’m just going to toss it back to Victor our moderator for a second so he can explain how to raise your hand if you so speak.
Operator: Thank you. [Operator Instructions] I'm sorry gentlemen. I'm having some technical difficulties here. My apologies, Mr. Sklar, if you could take over sir, it seems that my computer is frozen here.
Tony Sklar: You bet. Absolutely. Okay. Then at that note, we'll just give it a couple more seconds here for people to get their messages in the queue. And our first person up here is [Ray] from Alliance Capital.
Unidentified Analyst: [Technical Difficulty] Capital. Congratulations on a great quarter at 4.7 million in revenue. I get out of the back a little bit and go in the time machine of the Hindenburg and JCAP research pieces that came out seemed to be timed very well coming out together, any feeling of that was maybe a coordinated attack?
Alfred Poor: Yeah, obviously, we feel that it was the hit piece as they call it in the industry. We hired a global law firm DLA Piper to look into the matters for us. They concluded their work at this time, and they come back to us with a few recommendations of some improvements to some processes to make sure that we make ourselves a little more bulletproof against those types of attacks in the future.
Unidentified Analyst: Okay, great to hear. Now, just a quick question around the revenue for the quarter, how successful was the MEG in delivering on the order book? And were any orders pulled forward or did you hit the numbers as expected?
Alfred Poor: Nothing was pulled forward. A lot of activity towards the end of the month, some of it did roll over into July, gave us a particularly strong start. I think this was a good quarter in terms of proving out our business model. I think you'll see Q3 significant ramp up in activities.
Unidentified Analyst: Okay, great. Thank you.
Alfred Poor: Thank you.
Operator: Thank you. Our next question comes from [Susan Monroe], a Private Investor. Please proceed with your question.
Unidentified Analyst: Hey, Alf, great to hear from you. We've missed your last 30 days. I know you guys have been busy. My question is, you've said in the past that financing is the key to getting the fleet customer orders. And I think you've previously stated that there would be hundreds of billions in local currency available for companies to place orders. Can you provide some detail on the financing pools that are now live? What value is in place? What are they utilized for? And are there any restrictions on use? And also how much has been deployed currently?
Alfred Poor: Hi Susan, thank you. That's a very good question. And the reason I put those tools together was primarily to drive the big ticket items and the trucks to slightly complex system that I won't bore you all with, which is you have to have a AAA rated, we're part of the consortium, so we help bring the money in from utilities and insurance companies and others. So, you have to have a Triple A rated entity with which to hold the assets that have been lease financed out.  So, a little bit of the complexity in there, and we haven't used any of it for the sales that we did in Q2, but there are a number of sales completing in Q3 that will be leaning into those financing pools. Those financing pools are quite large. Some of them are hundreds of billions of Renminbi. That is with a B, hundreds of billion, and you need that when the cost of some of the vehicles can be 250,000, 300,000, and then there's multiple hundreds of thousands of units in some of the orders. So Q3, we'll see the activity of those. Nothing was completed in Q2.
Unidentified Analyst: Okay, thank you. Can I follow up with one more question now?
Alfred Poor : Okay.
Unidentified Analyst: On your interview yesterday with CleanTechnica that was released, you talk a little bit about working with Steven, and I imagine as trucks each cost quite a bit of money. Is there a chance that these funds could run out?
Alfred Poor: Certainly the funds will need to be represses, and it's a very good question. And so, there's two elements to this. The first one is, the capital that's put out by the consortium partners to begin with, and then once we get close to typing out that so to speak, we’ll then take it out to the market will ABS refinance it to replenish the pool. And we continue to talk to the consortium partners who are getting government incentives and other things in order to make sure that there's plenty of capital available. But yeah, I mean, with those types of sizes of items, yes, it will take multiple funds, and then the refinancing of multiple funds once we collateralize those assets to keep the pool topped up the size of conversion that needs to take place in China to meet the regulatory deadlines. We're in Phase 1 of the financing. There'll be two or three phases. It'll be a much bigger, broader market. We do anticipate that other players will come into the market and we see what we're doing, how we're making money, because although you can't get capital out of China right now, there's a lot of capital in China. And we frankly welcome competition because it's always good. So, I suspect that the short-term, you know, we'll capture a lot of order flow because we have these, but in the long-term, I expect it to be part of the common state of the market.
Unidentified Analyst: Got it. How much is the order book worth right now? Do you – can you give figures on that?
Alfred Poor: I don't have the figures to hand. It changes every day with the new orders coming in. You know, we're moving towards that which we hope to have set up for September. We're working on the template now. We're moving towards giving an update every month of both the orders and the deliveries. So, you can understand what's coming down the pipeline, and you can also understand what was done in a given month, and when you put that September number out, we will put out the July and August numbers together.
Unidentified Analyst: Okay, fantastic, Alf. Thanks. And thanks to the team, keep up the good work. I know you guys have been working really hard. Appreciate it.
Alfred Poor: Thank you so much. Much appreciated.
Operator: Thank you. [Operator Instructions] Our next question comes from Peter Wright with Intro-Act. Please proceed with your question.
Peter Wright: Great. Thank you guys for taking my question, and congratulations on great quarter on MEG. [Indiscernible], and also, I guess I'll start on 3Q guidance, nothing provided. Quantitatively, and it does look like you're going to start providing an order book and delivery numbers on a monthly basis, which is great, better than, you know, peer transparency. How would you characterize for us, how customers are scaling into their fleet upgrades? And if you kind of put in to them maybe what is certainly – with the press releases, we got some good ideas of kind of what the transactions looked like in 2Q, how do you see this evolving from kind of a size of vehicle basis through the back half of the year?
Alfred Poor: Yeah, I think, obviously, we're not going to give guidance at this point because one of the questions that was at the beginning of this segment around the short selling activities, I don't think it's a smart move for us. So, what we are going to do is, get those very factual reports every month starting from September for the July and August numbers, I think those will show you. But suffice to say Peter, we're moving into the bigger ticket size of stuff. I reference, one particular deal we're working on for mining operations customer. That is about a 100 heavy trucks and 200 batteries that bind two CATL batteries for every truck. So, those are the types of order flow that you're going to start seeing come with much bigger ticket, much bigger driver revenues.
Peter Wright: Great. And two little questions as a follow-up. Can you comment on any thoughts on the 12.5 million associated with the Fintech Village on the balance sheet? Is there any thoughts you can share with us on how to monetize this?
Alfred Poor: Well, at the moment we're looking at an offer to do due diligence progress from the town. There's some other interests from some private developments as well. The properties – the MEG segment is growing so fast and the Fintech segment, particularly some of the blockchain and other investments we did in 2017, 2018 they're not ready for primetime, because there's no regulatory approvals to do what we want to do with them at this time. Not just for us, but you know, the likes of [T-Zeros] and everybody else out there. They're all waiting for sec [SEC final approval]. So, given where it is with MEG, we want to move outward towards that. You know, the landscapes changed a little bit. So, we're looking to realize the value back out of it, and trying to find somebody who can, you know, take the vision on for what we wanted to do, because I think it's a great location. I think, you know, there's a [fiber backbone] between Boston and New York that services Connecticut very well. I think this will make the right templates for somebody, but at this point in time, it's been a heavy lift. It's been a drain on my resources. One or two members of the team, constantly meetings with everything from the [no weapons commission] to the Department of Environment to the EPA, it's just stuck in a lot of time at the business when, you know, MEG is really starting to grow quickly. So, that's what we want to put on word at this point.
Peter Wright: Wonderful. And very last question is, if you look at the MEG revenue breakdown in 2Q, is it pretty much for a procurement spread is what is in the revenue in 2Q or is there any financing spread, including these numbers?
Alfred Poor: There's no financing spread. As I mentioned to Susan in the previous question, Peter, we didn't make use of the funds in Q2. So, we did these placements with ad hoc financing companies and banks in China.
Peter Wright: Wonderful. Congrats on a great quarter guys.
Alfred Poor: Thank you.
Operator: Thank you. Our next question comes from [Patrick Standford], a Private Investor. Please proceed with your question. Mr. Standford, you may proceed with your question.
Tony Sklar: Looks like he's gone.
Operator: Our next question comes from [Chris Sardi], a Private Investor. Please proceed with your question, sir.
Unidentified Analyst: Good afternoon, and thanks for the time. Looking at the EV revenues in the 10-Q, it looks like there was 55,000 in Q1 and 695,000 in Q2. Now that the MEG platform is operational, will you be sharing how the platform looks?
Alfred Poor: Potentially, yes, we would do. Can you help me understand what you mean by how the platform looks? Do you mean in terms of the S to F to C model?
Unidentified Analyst: Yeah. So, if you're interacting on the platform, I think investors would be interested to know how that kind of looks if you're a fleet operator or some other user.
Alfred Poor: Okay. You mean their internally developed platform that we built for the MEG team to take the orders into contract automation things like that. I mean, at the moment that's designed to be B2B tool, but we have – we haven't decided to show that to anyone because it's being used internally. And it's got a lot of what we've developed is what we consider proprietary information in it, but it's very much in favor with the MEG team and the customers that are making use of it. So, not sure we will be planning to do that anytime soon, but I think as it becomes the [indiscernible] with the manufacturers and others, then I think we will be in a position to show it.
Unidentified Analyst: Great, thanks. And also one follow-up, can you provide any updates on business development efforts in the United States for MEG?
Alfred Poor: Yes, thank you. That's a really good question, Chris. As you saw, we've decided to accept anyone planning to do any business development for MEG in 2020. In fact, not until the second half of 2021, but given the way that the industry is moving like now, and the fact that we're starting to get some in-bound inquiries, we have in-bound inquiries for everything from garbage trucks, to city buses, to school buses coming from the U.S. and Canada. And so, we obviously need to be responsive to those inquiries. So we're setting up Medici Motor Works, as quickly as we can to help service that. We thought it was important to have a brand in the U.S. given the strength of the brands that are already in the space and this is our – this is our move into that space. It'll be slightly different from the way we work in China. In China, there's over 100 EV manufacturers. So, we don't want to be competing with them, making vehicles, but these are going let Medici Motor Works branded vehicles that we sell in North America, where it is a [indiscernible] Garbage truck, fire truck, or heavy truck for the short haul or long haul. It will be Medici who work from the OEM partners out of China and South Korea, as well to make sure we can bring cost efficient vehicles, because I think the – some of the other players in the market right now have pretty hefty price tag. So, I'm not sure all the small independent owner operators and others are going to want to pay for a truck when they used to driving a [indiscernible] or something that's pretty much bulletproof for 15, 20 years. So, we see that as an area that we can really break into. And then Medici Motor Works is our vehicle to do it.
Unidentified Analyst: Great, thank you.
Operator: Thank you. Our next question comes from [David Joseph], another Private Investor. Please proceed with your question.
Unidentified Analyst: Thank you, Mr. Poor, congratulations on the earnings for the second quarter. The EV industry is really booming with other companies like Tesla leading the way, there's Nikola, Neo, and so forth, Ideanomics is obviously right in there with the rest of them. You're not a manufacturer, but you're a facilitator with the MEG center, and the MEG center is basically end-to-end services. What do you see for the future for the industry at large and, as well as how does Ideanomics fit in, and how will you grow along with the rest of those other companies that are doing very well in the EV sector.
Alfred Poor: Yeah, I mean, as you mentioned the two of it, and thanks very much for your questions David. Two of the companies that are making, you know, the significant traction right now would be Tesla and New. That’s finally driven by passenger car. We've obviously used to Tesla vehicles to fulfill some orders in the taxi space, but so we're kind of an order partner for them. They're a downstream, you know, manufacturer that will supply vehicles to our customers. It's a commercial space where the takeoff is only really just starting. The passenger space, I think has been maturing over the last few years, passenger car space. So, it's commercial area where you're going to see it. That's no coincidence that you see Nikola, Rivian, Tesla and others all starting to make noises on the commercial side. And with the regulatory driven framework in China, it's been a little slow to get off the ground, but now it's happening because people are running out of that time window that they need to fulfill. So, to another manufacturer in China, as I mentioned to previous caller, because of the fact that there's over 100 manufacturers to compete with, we are a manufacturer out of Malaysia, and we've got a [Trielectric] brand. And we will be bringing vehicles for the assembled here and branded as Medici Motor Works for the North American and European markets as well.
Unidentified Analyst: I see. With Medici Motor Works, you are going to be bringing in Treeletrik and Medici Motors into the North American markets. How do you see that working out in the coming years? I understand California has passed some legislation where all trucks have to be electric. Am I correct with that statement?
Alfred Poor: Yeah. So, California, as everybody knows, is, is a more progressive state with the environmental policy than most other in the States, and Canada as well as can be viewed more in the same spectrum as California is. They’re mandating to get moved over to electrical, hydrogen to electric fuel small trucks. In the, you know, relatively what looks like long-term compared to some of the legislation in China and other Asian countries, but it's very, very important because the U.S. market – North American market, Canada as well, absolutely vast. We shipped 70% of our goods by road. Most other countries don't do that. So, this is a big and very important commercial vehicle sector. And obviously, we've seen in the recent COVID just, you know, how Amazon and Wal-Mart and others with local delivery vans as well with the United who have substantially increased their business. So, I don't expect that to go away. So, it's going to be a really important market for us. In terms of [trade], we’ll probably only be the bikes that we market. There’s Treeletrik in North America, everything else we market it on the [indiscernible].
Unidentified Analyst: Very good and going forward into Q3 and Q4, I gather we can expect the same type of revenues that are coming out of the company. You did a good quarter this year, already.
Alfred Poor: That was the beginning. We expect to ramp up significantly in Q3, significantly more after that and Q4. Lot of the big ticket items are going to start to move in late this quarter, middle of this quarter, by this quarter, Q4 for certain. So, you're probably going to see a list of the revenue numbers, but it really depends whether we act as principal or agent. There's a little bit of gap on U.S. GAAP accounting rules with commerce a bit more of an expert on the [math], but depending on how the deal is done, and depending whether or not we purchased the vehicles first and sell them as opposed to just having it to pass through depends whether we booked the gross or the net revenues in that regard. But regardless, I think you'll see the number of units and the net revenues jumped significantly from there forward.
Unidentified Analyst: And if I say, [indiscernible], the charging stations, I recall reading a news release regarding a charging station that you guys had initiated a few months back, what's the status of that?
Alfred Poor: So we - with Petro China, we have an ongoing project. The project we deliberately along with Petro China and CATL, we held it back a bit because the pace of technological advancement in battery storage and batteries and battery charging has been moving so quick. If we'd have done it as quickly as we signed up the relationship with Petro China with a put old charging station in the point when you could do a lot better. So, we held back a bit in starting that program, but significantly as well, we've secured an order for our [first legal charging poles]. So, we're putting out more than 100 charging stations out into the field for a customer within Q3. So that's going to be the start of not only the charging revenues from the energy segment of the business, but also the ability to sell the wholesalers more and more of the commercial fleets come online.
Unidentified Analyst: Excellent. Excellent. Well, thank you. I'll get off the phone. Thank you very much. I'm long Ideanomics and a very good quarter. Keep up the good work gentlemen.
Alfred Poor : Thank you. Thank you so much.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Mr. Sklar for any final comments.
Tony Sklar: Thank you so much operator. And that is all the time we have for today. This concludes the Ideanomics Q2 2020 investor earnings call. We encourage our community to continue to reach out to us and we can answer your questions on an individual basis. You can send those questions to ir@ideanomics.com.  We thank [indiscernible] all of our listeners, shareholders, analysts, and others who have taken the time to listen to our earnings call. We urge you all refer to our latest SEC filings for any information that you may need. This call will be available on our website in the investors section and you will find the link there. To be alerted to our news, events, and other information in a timely manner, we recommend you follow us on our social media channels. Sign-up for our newsletter and explore our website at www.ideanomics.com. Thank you everyone for participating and listening on this call today.
Operator: Okay, thank you everyone. Are we clear?
Operator: Yes, sir. We are.
Alfred Poor : Thank you very much. I’ll step off. Thank you so much, everybody, and thank you again for hosting us. Thank you.
Operator: Okay. Take care of gentlemen.